Peter Felsbach: Good morning, ladies and gentlemen and a cordial welcome to our Voestalpine Press Conference for the Results of the Business Year 2022-2023 here at the Steyrling & Linz [ph]. My name is Peter Felsbach, I'm the Head of Group Communications and I will be the facilitator for this press conference. Fortunately, the corona virus pandemic is behind us, what remains other communication needs and also new improved digital communication possibilities. Last year, we used the opportunity to ask you, the journalists, how we can provide you with the best possible service offering. And during the survey, there is hot rolls [ph] that the press conference was to be fast, efficient and affordable for everybody concerned. This is why we decided to have a digital virtual press conference this year. But in the course of the calendar year, there will be plenty of opportunities for you to have a personal exchange with our Board members as well as there will be opportunities to visit our plants and sites, especially our activities in terms of greentec steel, Donawitz and in Linz and also the most modern special steel plant in Kapfenberg and 2 weeks' time, our new nursery school, a company nursery school that will be inaugurated with 200 places for children, so they will receive invitations in due time. Now let us move on to content of this press conference. We've had a turbulent year, the war in Ukraine, high interest rates, supply chain disruptions. For Voestalpine, it was an imminent year, a record year. The Supervisory Board took the decision to invest in greentec steel and this paved a way for an even greener steel production of Voestalpine. On the other hand, the Executive Board will also represent record-breaking results. Let me briefly present the Board members. Let me start with Peter Schwab, the Head of the Metal Forming Division; Franz Rotter, the Head of the High Performance Metals Division; CEO, Herbert Eibensteiner; CFO, Robert Ottel; the Head of the Steel Division, Hubert Zajicek; and last but not least, the Head of the Metal Engineering Division, Franz Kainersdorfer. The press release, photos and graphs can be found on our website, voestalpine.com in the media section. And I'd like to also point out that as far as greentec steel is concerned, we are offering a lot of new material. And we also have current photo and video material of our plant in Kapfenberg, that's all available to you, please make use of it. I would also like to point to social media channels, we have portraits and presentations of 51,000 employees, individual examples from all over the world that show the people who are behind the success of our corporation. The presentation will take about 45 minutes and then we'll ask you to ask your questions either through the phone conference. We'll show you the phone number and you will find it also on our website. And there's also the proven chat tool. You will find this chat tool directly in the chat window, you can already post your questions now or in the course of the presentation. That's it from me. I'd like to hand over to CEO, Herbert Eibensteiner and he will be giving you the presentation of the past business year 2022-2023.
Herbert Eibensteiner: Ladies and gentlemen, a cordial welcome to this year's press conference of the results of the past business year 2022-2023. Looking back, we become aware of the fact that we had to overcome major challenges in the past business year, in thinking about the impact of the war in Ukraine, the high energy prices, difficulties in terms of logistics and supply chains, higher interest rates, a high level of inflation, bottlenecks in the area of skilled workers throughout the world to name just a few. And still, we managed to once again present record-breaking numbers. Year-on-year, we managed to increase our revenue, our operating result, our earnings and we also have an all-time high in terms of our equity. And we also managed to achieve the lowest level of debt since the business year 2006 and 2007. Now let us take a look at the past business year in more detail. Well, we saw a very stable demand situation, a strong demand for Voestalpine product in spite of the volatile economic environment that I briefly outlined previously. There was also good strong demand from the energy sector, increasingly also jobs involving renewable energy sources and we also have a very stable business in the Railway Systems sector. That's, again, very satisfactory. You will remember that we have long-term orders that we concluded last year. And there's also a rising demand coming from the aerospace industry. So this has had a very positive impact on our business situation. And as far as the European automotive industry is concerned, there were still some supply chain problems but all things considered, the automotive industry is on a very stable trajectory. In the second half of the year, we then saw that especially in the areas of the consumer goods industry and the construction industry, the demand has come down slightly. Let's take a look at the global economic environment. I think what was significant was this rapid rise of interest rates in the U.S. So in the course of the year, this had an impact on the overall economic mood. But I believe that the U.S. have been very resilient so far. And as opposed to Europe and North America, the inflation has already come down. As far as Europe is concerned, we are seeing huge price rises in the area of energy sources as a high level of inflation and also, of course, rising interest rates and especially in the second half of the business year, this has slightly dampened economic development. And in China, we have all but forgotten that. But throughout the year, there had been a very restrictive COVID policy. And this put a brake on economic growth and it is only towards the end of our business year when this policy was discontinued, we saw an improvement of the economic situation. There are still problems in the real estate industry and this will continue to be the case. And in South America, we are still facing some problems. But overall, there's been a very positive development in spite of these problems. Now let us take a look at the success factors. What did we have to do in order to manage and overcome these challenges. At the beginning of the business year, it has been important to secure our raw material supplies and logistics. I think you're familiar with the impact of the war in Ukraine. This meant that our raw material supplies, especially the supplies coming from Russia had to be changed over and also the problems in the logistics and supply chains were overcome and managed very well. So we started very quickly to diversify our gas procurement. I think you will remember that we took the decision at 3 months’ worth of natural gas supplies will be put in storage in order to make sure that even in case of the supply disruption, we can continue to serve our customers for as long as possible. So we managed to do that. At no point of time that we have to stop our supplies to our customers. In the first half of the business year, this wasn't so easy. And when raw material prices rose significantly, we still managed to successfully ensure that in many areas, these high energy prices and raw material prices were successfully passed on to our customers. And at the same time, especially in the areas of the aerospace industry and the railway industry where we managed to get long-term new orders. Due to the high cost in the area of materials and energy sources, our working capital has, of course, gone up significantly. And thanks to a good and efficient working capital management, we were capable of compensating for this rise. And what had been really important had been the highly committed workforce, all of our employees are very engaged and I would like to thank them on behalf of the entire Management Board. I would like to thank them for their commitment. We kept our focus on high-tech segments and we also had a focus on the value-added growth. This manifested itself in the area of the Railway System business, where we had a very stable business development. And, of course, sustainability continues to be part and parcel of our group strategy. And this takes me to greentec steel. In the area of greentec steel, we managed to get a basic decision taken by the Supervisory Board to pursue this pathway into a green production of steel. I would like to briefly show you a video about this first step of greentec steel. Ladies and gentlemen, this has been a description of the first step to produce greentec steel as of 2027. Of course, this will be followed by further steps. You know that we have committed ourselves to be climate-neutral by 2050. The next steps we will be taking will be to obtain subsidies for this first step. In June, we're going to file all the applications for subsidies. Currently, there's a tender in Austria. The deadline is at the end of autumn. And in autumn, a final decision will be taken in terms of -- and to what extent this project will be subsidized. Let me also talk about the other steps for greentec steel from 2030. So after this first initial step, there will be an investment into second electric arc furnace here in Linz and in Linz and in Donawitz, there will be one blast furnace each that will be shut down. So that means that only one blast furnace will remain until 2050 and will need to be replaced by 2050. And the technologies that we are talking about in this phase between 2030 and 2050, these technologies are currently reviewed in our research and development departments. They developed further as pilot projects. What is clear is that these technologies will focus on green hydrogen but the decision to do this will not be taken now. These decisions will be taken in a few years' time. And now I'd like to hand over to Robert Ottel, who is going to present the financial KPIs.
Robert Ottel: Thank you very much for having taken the time to attend even though it's a holiday tomorrow. And for the people from the print media actually today would be a day off. In the course of the next 5 minutes that have been allotted to me, I will try to present answers to the 2 essential questions that enable you to get an overall picture of Voestalpine. The first question is how well are we equipped for a potential economic downturn in the energy transition? And the second question we need to answer is whether we, as a team, together with our colleagues, we've been able to manage successful pathway and continue along this path in spite of all the difficulties such as the war, the high interest rates and high inflation and what has been the impact on our results. And you can tell by looking at the slide, this is a year-on-year comparison. So the revenue, there's been an increase of 22%. So we also had a high rate of inflation. We even had a downturn in volumes and still the revenue has gone up so dramatically, where cost for gas and electricity alone rose from €860 million by 75% to €1.5 billion. So the year has been extremely burdened by these price increases that we've also experienced as private individuals. Still in terms of our operating results, the EBITDA and also in terms of the EBIT, we achieved record-breaking results. But this is not because we managed to pass on this high rate of inflation to our customers, even though we did manage to pass on most of these price increases but this higher result can largely be attributed to the results in the U.S. in light of the better situation in the area of energy exploration in the U.S. What we're also seeing is that you see the EBITDA and the net income, where there is a special nonrecurring effect and this is why the profit after tax has gone down slightly but this is due to this onetime nonrecurring effect. And we also see that between the EBIT and the EBITDA that the interest rate has gone up. Last year, the interest expense was €70 million, now it's €130 million. So in spite of the lower debt, our interest expenditures was higher due to the higher interest rates. Now due to this good operating result, it's a record-breaking result, we, together with the Supervisory Board proposed to increase the dividend to €1.50 per share. The number of employees has also increased. We have increased the number of employees by about 1,000. And this is due to the fact we have a very good development in the railway infrastructure, in the aerospace industry but also here in Linz, and this is why we increased the number of employees. What you can see here in blue is the development of equity and in gray, you see the net financial debt and then the gearing ratio over the past 3 years or 4 years. And you can see that the successful path to reduce our net financial debt has been continued this year, even though about €1 billion had to be invested in storage, not due to volumes but due to the prices due to the higher raw material prices as a consequence of higher inflation. Still, we managed to reduce our net financial debt. We increased equity. And of course, the sale of the Texas plant has helped us to reduce our financial debt. Our equity in spite of the dividend to the tune of €215 million [ph]. And in spite of the share purchase buyback program, we managed to increase it to a new record value, an all-time high of equity. We also have a very low level of debt, Herbert Eibensteiner has said it, that's the lowest level of debt since 2006 or 2007, before we took over Bohler-Uddeholm [ph], I've been with the company for such a long time, I still remember how it was before. But as far as the gearing ratio is concerned, this is not only the lowest level in terms of the gearing ratio, of course, in terms of the total debt. The financial discipline of our colleagues, so the efforts to reduce debt has also led to a very high liquidity reserves level, €2.5 billion is our liquidity. And as related to the repayments that we are facing in the coming years, especially in '24, '25, a bond and convertible bond will have to be repaid but anyway we will have to decide how this will be refinanced then. So all things considered to answer the 2 questions asked at the beginning, from my perspective, I can say that financially speaking, our group is well prepared for a downturn business and wealth transformation. Thank you very much.
Peter Felsbach: Thank you very much, Mr. Ottel for this overview of the KPIs. We'll now continue with the highlights from the 4 divisions. And then Mr. Eibensteiner is going to provide you with an outlook for the current business year and we will start with Hubert Zajicek, Head of the Steel Division. Mr. Zajicek, over to you.
Hubert Zajicek: Ladies and gentlemen, I would like to briefly talk about the business development of the Steel Division. Of course, we were also affected by the already mentioned raw materials and energy price distortions of the past business year and also this dynamic market development. This was triggered primarily by the war in Ukraine. We managed to steer a stable course through this dynamic and turbulent situation and we managed to get a very good result for the Steel Division. In this time period, we also focused very much on further improving our strategic position and we're doing this by developing our materials portfolio and our processes further. So we are in the midst of building a cold rolling plant. And at the end of this calendar year, it will be commissioned. So we're sticking to our timetable. All our hot-dip galvanizing lines are being modernized. That means that the hot-dip galvanizing lines will be made fit in order to make sure that we can process the materials to the highest quality standards for high-strength steels and ductile steels. So we will be able to produce all kinds of grades. And as Mr. Eibensteiner said, the first step has already been taken towards the transformation towards greentec steel. I'm very proud of the fact that here in Linz, we're going to replace a blast furnace by an electric arc furnace. So these activities are already underway and we are laying the foundations for new buildings. So we are in the midst of doing that. This is all running according to schedule. And in February of 2027, we will commission the first electric arc furnace which will be a milestone in this development. And in parallel, we are already developing the market for steel products produced with a lower CO2 footprint. So we also managed to get some initial orders to make sure that there's also a well-developed demand once the electric arc furnace will be commissioned in a couple of years' time. Another nice example for this broad-based investment strategy is also the construction of the [indiscernible] nursery school. This is a company-based nursery school that is in line with the needs that is close to our company premises. So they are currently moving to the new premises and in the course of the month of June, there will be an official inaugural ceremony. Now another important milestone has been achieved in the past business year. We managed to sell the majority stake of our HBI, hot briquetted iron plant in Texas to ArcelorMittal. More than a year ago, there was the signing of this deal. And meanwhile, this transaction has been successfully handled. 80% of the shares in this company worth around €736 million are now already in the hands of ArcelorMittal. We continue to hold 20%. So we still have a role in the Board of Directors. And so we can represent our interest there. And this has also significantly -- significantly helps to reduce the group's net financial debt. And as our CEO, Eibensteiner has said in this raw material, HBI, this hot briquetted iron remains an important requisite for both electric arc furnaces in Donawitz and in Linz and we managed to conclude a long-term supply contract that will provide us with 420,000 tonnes of HBI annually which is the basis for greentec steel. Thank you.
Franz Rotter: Good morning, ladies and gentlemen. I'd like to present the High Performance Metals Division results for the past business year. Our division, the High Performance Metals Division achieved about 50% of its sales outside of Europe. We have a strong global diversification. And as a result, we've also seen regionally different market developments, especially in the second half of the past business year. In Europe and in particular in Central Europe, in Germany, we saw a perceptible downturn of economic development but also a downturn in China. Last but not least, due to the developments in connection with the COVID policies in China. And as far as the major project families are concerned, we have a strong diversification. About 50% of our sales is generated from tool-making with tool steels and high-speed steels in the processing industry. In the second half of the past business year, there was a reduced demand in almost all regions and this downturn was more pronounced in Germany. Most of this downturn was compensated by special materials and special products, especially in the oil and natural gas industry with a clear sustained upwards trend. That is also based on the fact that in previous years, there has been an investment backlog in the service companies, and also the storage technologies are now presenting us with a more demanding situation which benefits our highly specialized products. We are also seeing a very positive development in the aerospace industry, where there are significant build rate increases among the aerospace OEMs. And this has led to an excellent order level situation that is reaching the capacity utilization limits of our production. At all process levels, we have implemented sustainability projects. We have built up a sustainability platform that covers all the different sustainability aspects, also sustainability as it relates to our employees. So this year, we have started to build a youth campus in Kapfenberg. Initially, 60 apprentices will be given the opportunity, even if they are traveling from farther away, they can get their training as process engineers in the various professional groups that we are offering. Now let us proceed to the most important project in our division which is certainly the most advanced special steel plant in Kapfenberg. It is the most advanced special steel plant because globally, there is no steel plant that is comparable in terms of the complexity of the tasks there. We are smelting more than 100 different alloys on steel and nickel base and such a level of complexity is unparalleled and we can produce products for the most heterogeneous industrial segments. You cannot find this anywhere else, just in Kapfenberg. And this is why this investment is characterized by a high degree of innovation as far as process engineering is concerned. What you see is a completely automated robot-based sampling, where during the smelting process, samples are continuously being taken and adjustments are automatically being made. And this is supported by artificial intelligence in order to optimize the alloys. So this is really the next generation of the production of special steel based on nickel. After 4 years of construction, the hardware and software has now been installed. We will have the cold startup and hot -- cold commissioning, well, that was actually finished last year and the hot commissioning has already started. We are in the process of starting a trial operation and the first sale of a product was already produced in May. And we are now continuing this test operation all the way to full production by the end of 2023. So at the end of this calendar year, we will move from the intermittent operation to the new steel plant, where all the benefits of this information will also have a business impact on us. So the objective is to produce 205 tonnes of special steels. So steels plus nickel-based materials and especially in the area of international aerospace, oil and natural gas, automotive and tool-making industries, also powder metallurgy, not only for tool steels but also for 3D printing or additive manufacturing. The steel plant secures not only 3,500 jobs in Kapfenberg and it secures not only the future in terms of reducing the strain on the environment and resources but it, of course, also secures the further development of the High Performance Metals Division. We have a forward integration in the framework of our value-added service strategies that we are implementing successfully around the globe and that has contributed successfully to stabilizing High Performance Metals Division in this volatile market environment. Thank you.
Franz Kainersdorfer: Ladies and gentlemen, I'd also like to welcome you here from Linz. And I would like to briefly report about the past business year in terms of the results of the Metal Engineering Division. We've had a very successful business year. On the one hand, it was characterized by a good development in the area of Railway Systems. With very few exceptions, we had a very stable development globally when it comes to working off orders and also in new -- acquisition of new orders. And in the past business year, we managed to also pull in several large orders. So on the one hand, turnout systems were provided for the new high-speed line in Great Britain going from London to Central England. So we managed to win this contract. And on the other hand, we also managed to obtain a large order in North America, where in the coming years, we are going to renew and expand the local transit train systems in and around Toronto. We also made use of this year in order to pursue the systemic approach that we've been pursuing for 3 years now and also complement this on the product portfolio side. So what we managed to do in Poland is to acquire a medium-sized company that produces fastening systems for rails. And thus, our overall portfolio was complemented and in the Railway Systems segment, we can provide all these systems for turnouts and for rails, we can produce it all in-house now and develop the systems further. And through corporations and minor joint ventures in the area of the digitization of the rails in terms of signaling and also on the software side, we managed to further develop the range of products and services offered by us. In the area of Industrial Systems, I can report to you that about 2 years ago, we acquired a medium-sized company in Italy in the area of welding machines. So we have now fully incorporated this new company into our group. And at the end of the last business year, a new generation of welding machines was introduced with a quite remarkable new properties. So we have now improved in our sales and also in the area of welding technology. We're full service provider. Well, we are not only offering welding materials but also welding machines and a fully integrated offer. Welding Division, in spite of the difficult boundary conditions has had a stable and good performance. In the business segment, Wire, we also managed to have a good performance in the first half of the year. But in the second half of the past business year, there was a downward trend in demand and fewer orders due to the deteriorating economic situation, not only in the automotive segment but also in all the other essential segments. And we expect that this will continue for at least 1 more quarter but we do hope that in autumn of this year, the situation will improve again. A significant contribution to the overall success of the Metal Engineering Division has been Voestalpine Tubulars, seamless tubes and the Oil Country Tubular Goods production in Kindberg. It rose like Phoenix from the Ashes compared to where it was 2 years ago. There's been a significant improvement of the revenue and the results. We have been helped by the stubbornness with which we pursue to maintain our position in this market, even in times when the boundary conditions were not so good. So we continue to develop our product portfolio and we also continue to enter new markets. And due to the very high demand which is caused by the high energy prices in the area of oil and natural gas, we managed to make good use of this position, not only in North America but also in other regions on this globe. So we really benefited from this high demand. And we also used this time in order to repair our product portfolio for future development, because one competitor in Germany exited the market and we acquired a part of the pipe division of this competitor. So we are going to offer these new pipes. So this has helped us to expand our industrial pipes portfolio in this segment as in the Metal Forming Division. And with this added segment in Kindberg, we can now supplement our offer in this field. As my colleague, Hubert Zajicek has mentioned, in Donawitz, we are also preparing a transformation of the energy system, energy sources used there. The preparation has been underway for 3 years and we are very pleased that our Supervisory Board has given us the green light to build an electric arc furnace there. So the preparations are underway at full swing. And when this funding and subsidies will have been created but we are ready to hit the go button and we will then award contracts and start building. Thank you.
Herbert Eibensteiner: Ladies and gentlemen, a cordial welcome also from me. The dramatic savings measures that we implemented in the beginning of the COVID crisis in 2021 continue to have an impact. And at the same time, we also invested into growth opportunities and it pays off. Already last year, I managed to report about record results in revenue and EBIT. This year, we have topped that and we managed to surpass our results and we have an all-time high for revenue, EBIT and free cash flow. The global growth projects that we launched are being successfully implemented. These are projects in Brazil, the U.S. and China. The 2022-2023 business year has been characterized by a cool-down already 1 year ago, we saw a downturn of incoming orders in certain sectors, especially in the area of Tubes & Sections but these reduced orders were compensated by projects for the solar industry, so that Tubes & Sections has ended this business year with a very good result. As of the summer, the Warehouse & Rack Solutions was also affected by reduced orders. The explanation being relatively simple. With COVID, online trade exploded, this led to an overheating of the market for automated warehousing solutions, then online trade normalized again and the online giants hit the brake and they stopped all these projects. Meanwhile, since the beginning of the calendar year, we are seeing a nice level of incoming orders. And due to the nice order backlog that we had, we managed to complete this business year very well and we're very optimistic for the coming year due to the incoming orders. In the Precision Strip business unit, we have seen an excellent business year. The downturn only began in October and November. It had an impact on our incoming orders then. In the automotive sector, we continue to be confronted with a challenging market environment. The production of the automotive industry in Europe was 30% below the level before the crisis. At the same time, we had a very volatile call-off behavior of our customers because of disruptions of the supply chain in our customers. I'm very pleased about the fact that in this challenging environment, we achieved a record result of the Metal Forming Division. Of course, our focus remains on taking continued measures to reach a goal of carbon neutrality by 2035 in metal processing. Ladies and gentlemen, I will now move on to the outlook for the business year 2023-2024. In our outlook, we expect a weakening of the economy. There are several uncertainties. I will name just a few. The global geopolitical tensions have a potential of increasing. There's still the war in Ukraine and the effects of the war. And what we're also seeing as that inflation will remain high in Europe and also in America, I believe it will depend very much on how these 2 large markets will develop going forward and how they will manage to bring down inflation. And what we're also seeing in individual market segments, different patterns of development. We're seeing a downturn in the area of consumer goods, in construction and mechanical engineering divisions but we're also seeing a very robust group's strategy. So the Railway Systems remain very stable. What we're also seeing is that we are very well positioned in the aerospace industry. And as we've said, we assume that there will be slight improvements in the supply chains in the automotive sector. So that we will continue at the same level as previously in the automotive sector. What this means for us is that we have a good strategic positioning, also technologically speaking, we are well positioned. You have seen by the examples given by my colleagues, what we have managed to do in the past. Robert Ottel talked about the financial situation of our group. So assuming that there will be no further major upheaval or economic distortions, our outlook is that there will be an EBITDA between €1.7 billion to €1.9 billion. Ladies and gentlemen, this has been the report of the Management Board for the business year 2023-2024. So the report on 2022-2023 and the outlook for '23-'24 and we're looking forward to your questions.
Peter Felsbach: Thank you very much for the presentation. Thank you to our Executive -- thank you to our Executive Board. We'll now start with the questions and answers. So there are various options of participating. There's the teleconference, you see the phone number and the confirmation number, then asterisk and 1. Please dial in quickly. It takes a few minutes for you to be in the system. And there's also the possibility to use your chat tool on the streaming website. So a couple of questions have already been received and we'll start without further delay. The first group of questions refers to greentec steel. So we have received several questions. Let me start with [indiscernible]. In light of the high rate of inflation, are there going to be more cost overruns for the 2 electric arc furnaces to the tune of €1.5 billion? Second question, [indiscernible]. You talked about product developments with the lowest CO2 footprint. What exactly does that mean? [Indiscernible] asked another question. Why did you take the decision for greentec steel now? And what would have been the financial penalty if you had decided against replacing the blast furnaces with electric arc furnaces also in view of the necessary CapEx? And the last question deals with funding and subsidies. What's the way forward there? So I would like to ask the Executive Board to answer these questions.
A - Herbert Eibensteiner: Well, let me start with the first question. The financial investment decisions for Donawitz and Linz has been received in March of this year. So the investments were approved by the Supervisory Board in March of this year and the current development in terms of procurement, infrastructure and core aggregates can be started. And as far as the concrete project is concerned, we see that the approved finances will be sufficient for our purposes. As to the second question, this is about this lower CO2 footprint. Well, you can consider the different production sites of Voestalpine. They have not only now started to take measures to reduce the strain on the environment to reduce emissions. So we already started reducing CO2 emissions in the integrated steel plant that we are largely. So we are really at the top of the benchmark. And at the European level, there are benchmark values for each production site and we measure those. We also have a certified system that is reviewed by external auditors several times a year. And everything we do to change over the existing plant in terms of the use of raw materials, so all further optimizations that are possible. And if we remain below this benchmark, where we can collect these CO2 savings and these collected CO2 savings can then be assigned to steel products. And this will then be certified CO2-reduced steel that can be offered and sold that way. Let me add to the question asked by [indiscernible]. As you know, our emissions trading scheme means that as an energy-intensive industry, we get a certain number of free certificates. The EU has decided to launch a program that will start in 2026 until 2034. So these free certificates will be gradually reduced and will expire and be faded out. And we are also discussing the carbon border adjustment tax. So this reduction -- this gradual reduction of free certificates of auditors has also been part of this project. And Voestalpine has committed itself to the climate targets. This is why we have the goal of being CO2 neutral by 2050 in our production. And this is the first step on this pathway. So this first step will be taken until 2027 and will allow us to also serve the green steel market. And on the other hand, of course, this will lead to higher costs because of the gradual reduction of free CO2 certificates. The question was about funds. We will apply for funds in June. So we -- there is a program in Austria that we can apply for that and the tender is open until autumn and we expect a decision around October, November. And I think looking at this funding guidelines, we can expect or we hope for a fund of around a high double-digit million funding of this project. Yes.
Peter Felsbach: Thank you for this first round of questions. As you can see, there's a lot of participants in our teleconference. There is one question from Germany from Wetzlar [ph] to Mr. Rotter. Can you say something about the current and future developments of the Wetzlar plant at Buderus, special steel plant at the beginning of the year, you had reported that there would be a reduction of the headcount there. Will there be further changes in the headcount there?
Franz Rotter: Well, the situation in Wetzlar is characterized by 2 essential factors. One factor in Wetzlar is certainly a very weak market situation, especially in Germany as far as the automotive supply industry is concerned but also in other segments, that is served by Wetzlar and Buderus, Germany. The second factor is that the cost of the site there have gone up for companies such as ours and these costs have gone up to such an extent where in the commodities market, it's very hard to place these products on the international market to sell them. This is due to the high energy prices, the high price of electricity, natural gas but also grid costs. And on the other hand, we have to clearly see that the productivity numbers in Germany, when you compare this with international KPIs, well, they're no longer competitive. It is for that reason and in order to sustainably guarantee the position of Wetzlar, we need to streamline our portfolio and make sure that we remain competitive with our products in future. On the other hand, the productivity at the site needs to be improved and we managed to do this by investing in automation, rationalization but, of course, it is also important to increase the hourly productivity. And therefore, unfortunately, we need to reduce the headcount by another 180 employees. This adaptation of the headcount is currently being negotiated with the Works Council. And we hope that by July, we can present the results that we can quickly implement in the following in order to ensure the sustainability for important parts of the Wetzlar site. So basically, this is a [indiscernible] and indispensable preacquisite to ensure that we can remain competitive with the products that we produce in the Wetzlar site.
Peter Felsbach: Thank you, Mr. Rotter. We will now hear 2 questions from teleconference and we start with [indiscernible].
Unidentified Analyst: I have various questions on the greentec steel project. My question refers to the funding that was referred to by Mr. Eibensteiner. You are talking about a high double-digit million amount. Well, bear in mind that they will invest €1.5 billion. This is actually a drop in the bucket. This is really all that you can expect by way of funding? That's my first question. Then I would like to know about this decision that were taken in June or in autumn. Is this about the transformation fund? And this short video clip around greentec steel, you quickly refer to the fact that the implementation of this project depends on this outstanding funding. This is really a game changer, whether you get a high double-digit million amount by way of funding? Is this a precondition for the implementation of the project?
Herbert Eibensteiner: Yes, that's the transformation fund we are talking about and we expect funding from this transformation fund. And why we can expect such a figure that we are funding, this is due to the funding guidelines for this transformation fund. And as to your third question, subject to the funding being approved, well, of course, we can only act once our projects have been submitted for funding and it is only then that we can start implementing these projects.
Unidentified Analyst: Well, I do have a question. Will you also apply for funding from the EU for greentec steel or maybe other funding sources in order to get subsidies for this megaproject?
Herbert Eibensteiner: Well, as far as this project is concerned, we are applying for funding here in Austria. And at the EU level, we've already applied for funding. We didn't get this funding there but in future when it comes to actually entering new technologies that we will be able to also apply for funding from the EU level.
Unidentified Analyst: I have another follow-on question. What kind of fund would that have been where you didn't get the funding?
Herbert Eibensteiner: Well, that's the EU ETS Innovation Fund.
Peter Felsbach: Well, let's move on to the question [indiscernible].
Unidentified Analyst: Gentlemen, I have a few questions, of course. Let me start this way. You talked about the emission trading scheme. In your annual report that I read through, I didn't find any figures. How much will that cost you? I found one figure you expect, I think that the already very high price will double by a factor of €2.5 billion [ph]. So what figures are we talking about in concrete terms? That's my first question.
Herbert Eibensteiner: In the past business year, we had costs for CO2 certificates to the amount of €238 million.
Unidentified Analyst: So allow me to continue. In the annual report, I wrote -- I read that, well, that you will not continue certain activities in the Texas plant. At first, there was a report from the Steel Division and then further back in the annual report, I read that there was another impairment of around about €30 million. Can you elaborate what is the current situation like in Texas, even though we only hold a 20% stake in the plant, why was this impairment necessary yet again? And if the business situation and losses are as the situation presents itself, well, maybe you cannot exclude further impairments going forward?
Herbert Eibensteiner: Let me start by starting, where I already tried to point this out in my presentation. In the past business year and the results from the discontinued business activities, in this case, in the Texas plant, we had an increase in value of €258 million. That explains the little difference between the EBITDA and the net income. This appreciation was due to an offer of ArcelorMittal, that was available at the end of the business year. So this one-off sum of €260 million now, of course, will no longer apply this year. So the result of discontinued activities in Texas, we have a result of €93 million. This refers to the operating result of Texas in the first quarter of 2021-2022, because the final deconsolidation will only happen at the end of the first quarter. So the result of Texas was still very good back then as opposed to on the result situation of Texas in the annual report that led to an impairment of €31.6 million. This refers to the first quarter of this calendar year. So that is the basis for the valuation and the planning of Texas is the basis for the valuation of our 20% share by the 31st of March. We had already impaired this by 30% compared to the purchase price in last year's annual financial statement. And this year, it was necessary to make a further impairment by €31.6 million due to the not very attractive earnings situation of the Texas plant this year. And what's the outlook like for the earnings potential to recover, because it is still possible to see further impairments, right? But from today's perspective, the valuation and as it stands in our books at €100 million, this stands and holds up. So in the coming years, there will be a positive development. So from today's perspective, I see no further need for impairment.
Unidentified Analyst: May I continue with another question. We are talking about the sometimes difficult situation of the automotive industry. I think Mr. Schwab talked about the automotive sector in the annual report that the situation in the U.S. has been better than in Europe. Well, that leads us to the question of Cartersville. What's the situation like in the Cartersville plant? Are there any improvements there? What about the operating results there? Are they positive or still negative? I'd like to ask for your explanations?
Herbert Eibensteiner: Cartersville achieved an EBIT of minus €18 million in the past business year.
Unidentified Analyst: But there's no need for an impairment there, right? Why not?
Herbert Eibensteiner: When we made the valuation as at the 31st of March of 2022, we had made an impairment of close to €64 million for Cartersville. The value is determined there were not on the basis of future earnings potential but on the basis of a disposal of the assets because you cannot depreciate below this value. So that has basically been reduced to the substance value -- the net asset value.
Unidentified Analyst: I have another question. For the Special Steel Division, that is the only area with the EBITDA and the EBIT diverge. Is this due to the impairments for the new special steel plant? I've found this hard to explain ad hoc. And then I have a follow-on question on the special steel plant and the commissioning of this plant. We learned from other companies that when you commission a new plant, you need to recertify and requalify everywhere. Mr. Rotter talked about the aerospace industry, in particular. So this is a long-term process based on our experience. So when will there be a first serial production in this new steel plant with deliveries made to customers?
Herbert Eibensteiner: Let me start with the question about this diverging trend in EBITDA and EBIT in the High Performance Metals Division. Yes, this includes higher depreciation and impairments but this has nothing to do with the special steel plant because the commissioning and the depreciation will only happen in the current business year. But what happened was that already at the half year point, there was a depreciation at Buderus for the plant and equipment, the amount of €51.4 million and the depreciation for the High Performance Metals production to the amount of €119 million. So the depreciation was €173 million, up due to these 2 impairment losses.
Unidentified Analyst: Well, the High Performance Metal production, what is that?
Herbert Eibensteiner: Well, the acquisition of the Bohler-Uddeholm Group in 2007, there was a different amount. So the purchase price for the shares of Bohler-Uddeholm was higher than the equity in the group. So in that case, it is necessary to make up this difference to book it on to hidden reserves or brand value or whatever. And the remaining value needs to be attributed to the different parts of the company. So the High Performance Metals production is one of these business units and the HPM division and I'm sure that Franz Rotter is much more capable of explaining this. Well, there's certain production values for Kapfenberg, Bohler-Uddeholm, Belarus [ph], Buderus. So put in simple terms. And then there's also distribution locations that do the annealing or processing and value-added services. This differential amount has been assigned to these 2 parts. And this is why we assess them separately in any impairment calculation. So that is the production of HPM to put it in simple terms.
Unidentified Analyst: But the acquisition of Bohler-Uddeholm is 15 years ago, right?
Herbert Eibensteiner: Well, that doesn't change anything. This differential amount remains. It's the so-called goodwill. This goodwill is not depreciated. It remains. And if there is a new valuation, then we need to also consider this goodwill. So this goodwill remains unaffected throughout these 15 years. Well, I think this -- okay. Well, I'll do an IFRS, so training calls another day. Yes. Okay, so let's take -- let's move on to the second part of the question, the certification. [Indiscernible], well, in the special steel plant, we produce all kinds of products and also products like I said previously that are not going to the aerospace industry or oil and natural gas. But of course, the homologation for the aerospace industry is a complex and drawn-out process. This is why they're ramping up until the end of the calendar year, so very long. We planned for 1 year for this different certification measures. We are going to shorten this somewhat. And we believe that by the end of the year, the most important approvals and certifications will be obtained for the aerospace industry. But to be on the safe side, we will also continue to preproduce with the old steel mills so that if there's any delays in the certification homologation process where we also depend on the capacities of our core customers, we need to have some leeway so that we're not in a constraint when it comes to switching off the old steel plant and commissioning the new steel plant. But we're already producing now our products coming from tool steel. I'm not going to talk about individual products but there's only an internal quality assurance approval system and this is why we can control this in any form.
Unidentified Analyst: And when will we start delivering to customers from the new steel plant?
Herbert Eibensteiner: Well, like I said, in May, we have the first 2 salable products that we have already produced. So these were already delivered in May to our customers or to the various logistics chains and we'll continue our trial operation. And I assume that in July, we are already going to produce the first product for the oil and natural gas and aerospace industry and be able to deliver to our customers. And then we'll have a very ambitious and also approved by our Works Council, we have an intermittent production in order to make the most of our production capacities.
Peter Felsbach: Well, to be fair, I would like to also let other colleagues take the floor. Now let me remind you, push asterisk and 1, if you want to ask a question or enter your question in the chat tool. We have one more question from the conference call and 2 questions from the chat tool and then we'll close both channels if no further questions will be asked by you. Let me hand over to [indiscernible].
Unidentified Analyst: I have several questions. And I hope this doesn't go beyond what this format will allow us to do. I can also send some questions via e-mail. I'd like to ask about the CO2 savings in tonnes, not in percentages. I think the tonnages may be more explicit than percentages. Energy costs have risen to €1.5 billion last year. Are the energy costs going to go down radically this year? Are there any forecast for the energy costs? And I would like to place this in the context in terms of the outlook given by Dr. Eibensteiner, the €1.7 billion to €1.9 billion forecast for the EBITDA. This is a bit lower than the previous year's forecast. And I think the previous year was marked by even greater uncertainties. So why are you now on the cautious side? Why have you reduced this outlook? And my favorite question that I always ask is what about -- what is the status of hydrogen technology? Have you made decisive headway? And what about the long-term CO2 strategy if the electric arc furnaces up and running? That's it for me.
Herbert Eibensteiner: Not too many questions, right? As to your first question, this 30% savings, that's about 4 million tonnes of CO2. Second question, Robert, can you answer that?
Robert Ottel: Well, the -- I can do the forecast of the energy costs of the current year. Thank you for this question. I can't forecast these costs but what we are seeing is that the energy costs are already going down and going down significantly and that may give you some guidance. In the 2021 business year, we had €416 million [ph], in '21 to '22, it was €860 million [ph] and in '23 to '24 due to the war, we had €1.5 billion. And the same information that's also available to you and that you're also covering in terms of the oil and natural gas price in the retail sector, well, these apply also to some extent for us, even though we have a different procurement strategy. But -- so we're already moving down towards the values in 2021. The question is how much will the energy costs fall further? Well, I can't answer that. As to the outlook and this was a written question received by [indiscernible] that also deals with the downturn in the forecast of EBITDA, whether the revenue will also go down or we can't keep our margins up. Well, I think I tried to say that in absolute numbers, the result is the same or even slightly better, even though the raw material and energy costs have gone up. So we also reduced the margins this year. So with the falling energy costs and the falling raw material costs, we believe that the revenue will also go down slightly. As to the question of the downturn in EBITDA, well, I think it is easiest to answer. If you go to Page 51 of the annual report, where you see the quarterly development of the Steel Division. And in the first quarter, it was an EBITDA of €462 million, in the second quarter, it was €204 million, in the third quarter, it was €76 million and in the fourth quarter, it was €120 million. So between the first and the second half year, there is a significant difference of €450 million. The swing is not a downturn in the economic cycle. It's a normalization of the economic trend in the Steel Division in the first and second quarter due to the situation of the war and the rapidly rising prices and also the still low raw material prices has led to an explosion of our results. This cannot be repeated, at least not from today's perspective. And in this normalized situation, this is where we're currently at. So we are seeing a slight reduction of the business trends but the significant difference can be attributed to this special situation of the first and second quarter of the previous year. I hope that this answers your question.
Herbert Eibensteiner: Excellent. Thank you. And as to your question relating to hydrogen technology, let me summarize this together with Ms. Keefer's [ph] question. So basically, this technology will be available where HBI can also be produced using hydrogen as an energy source. Now it is still done with natural gas. So that is the first part. The research we are doing is a technology that will become available in the coming years. So there are 2 things that we are working on. On the one hand, we use a technology that doesn't work with pellets but with fine ore, it's called high-4 [ph]. And here in Linz, we're going to try to build a pilot plant. So we did some research. Now there will be a pilot plant together with Primetals. So we'll build a small pilot plant that will be operated continuously. In 2026, this pilot plant will be completed and we can then see how sustainable and how efficient this production option is. And the plant will also be operated by our own already existing hydrogen plant. And the second topic where we're doing research is sustainable steel. It's a very innovative and interesting approach, where we use hydrogen plasma for a direct reduction. This is currently being tested in Donawitz. So if you ask me high-4 [ph] is closer to being the next step and this is why we decided to build this pilot plant here at the Linz site. And if you were to ask me in 2026, what the outcome is. Well, in 2026, we will be able to report to you how the individual technologies will differ from each other going forward.
Peter Felsbach: Thank you very much for having answered the questions. There are no further questions either in the conference call nor in the chat tool. Let me share with you some housekeeping remarks on the 5th of July, the Annual General Meeting will be held in the Design Center. It will be a physical meeting. Media representatives can apply for that and register. Then on the 19th of June, together with our CEO, Herbert Eibensteiner, we'll offer a guided visit to the new nursery school, company nursery school. And during the next meeting on the 9th of August, we are going to organize a web conference reporting about the first quarter results. So since there are no further questions, I'd like to thank all the Board members, the organizers. And I'd like to ask Mr. Eibensteiner to conclude this press conference.
Herbert Eibensteiner: Thank you for your interest. Thank you for the many interesting questions. I'd like to wish you all the best and I will now conclude this earnings call. See you next time.